Operator: Good morning, and welcome to the presentation of Investment AB Latour's Year-End Report for 2023. [Operator Instructions]. I will now hand over to CEO, Johan Hjertonsson and CFO, Anders Morck.
Johan Hjertonsson: Thank you, Katarina. Welcome, everybody, to our Q4 report earnings call. I'm together with our CFO, Anders Morck, as mentioned. Very welcome, everybody. If we start with the first slide, our usual slide that we have, and we'd like to say then that our group structure is unchanged. We had a good end of the year despite the declining economic climate turbulence last year, as you know. Despite that, we had a record high profit for the full year and actually a record high operating margin. Order intake has slowed down somewhat in the last quarters, but mixed picture between geographies and markets. The residential segment has been hit harder in the downturn, while the energy-efficient sector is growing. We are well prepared to adapt if needed. I would also like to highlight that the energy vision sector is an important area for Latour, and we're well positioned within this segment. Our efforts in sustainability continues. We have established for all our holdings, wholly-owned and listed companies to commit to the Science Based Targets initiative SBTi with verified targets. As per today, our wholly-owned businesses of size has committed and are now working with target setting. The majority of our holistic holding has committed and 4 have had verified targets: ASSA ABLOY, Fagerhult, and Securitas. So congratulations to those 3. And then if we go on to the next slide, you have them a picture of all our 10 holdings, listed holdings. Clearly, they have a very positive underlying growth and profit development in the last 10. We own quality companies who have the ability to grow and win market shares in both booms and recessions. Our holdings development in 2023 has in general been good, some of them very good. The order intake has weakened for most of the companies, but the picture is mixed. Net sales and profit development has been positive, and we see that absolute majority of the companies who has reported up until today, are proposed increased dividends. Acquisition it's been a very active year. For example, we can mention that ASSA ABLOY has finalized the acquisition of hardware and home improvement and also conducted a high level of add-on acquisitions during last year. HMS have signed an agreement to acquire Red Lion controls in the U.S. with full support from Latour and we will participate in the new share issues during 2024, which is part of the financing for the aforementioned. And if we go to the next slide, total return for the portfolio we have increased our -- what has changed since we talked last time. We have increased our holdings in CTEK during the fourth quarter from 31.6% to 33% of the shares in the company. Apart from that, no changes in our listed portfolio. Market ended strongly after a very volatile year. During the year, the investment portfolio value has increased to SEK 78.8 billion, an increase of 23.9% whereas the SIXRX increased 19.2%. Until Friday of last week, the portfolio value was SEK 73.6 billion with a total return so far this year of minus 6.7%, where the SIXRX is minus 1.4%. And if we go over to next slide, and we talk about our wholly-owned operations. The wholly owned operations ended the year in a solid manner despite the economic slowdown. Order intake has decreased in the last quarters, wherever we had organic growth in the last quarter, partly driven by a few large orders with long delivery times. We assess that customer purchase behavior is now normalized to a large extent. Our operations targeting the res segment has noticed a decline in demand. Also, Caljan order intake has been on a lower level since 1.5 years, which is a normalization effect very strong order intake during the pandemic years of '21 and '22. However, demand for example, energy-efficient products is developing. Our wholly-owned operations are spread over different markets and geographies, all of them not affected by a slowdown at the same time. Looking at the industrial operations as a whole, order intake in the quarter increased by 11%, organic 5%, and net sales increased by 1% organic compared to a very strong last quarter of 2022. Quarterly EBIT results amounted to SEK 856 million a decline of 8% compared to a record quarter last year with higher volumes and margins amounted to 14.2%. Full year, our businesses has good cost control -- on the whole year, our businesses are good cost control, protects the profit in an effective manner in a challenging environment. We have delivered on the very high order book that we entered the year with last year. Total growth for order intake was 5% and 13%. Operating profit total growth of 19% to SEK 3,807 million and the EBIT margin was 14.9% for the full year. And lastly, we had a very strong cash flow generation amounting to SEK 4.7 billion last year. So in summary, it's a very strong result and yet another record year, and we are very happy and proud of these results on behalf of all team members in Latour. And if we talk a bit about the acquisitions going into next slide. After many acquisitions during '21 and '22, pretty lower the tempo. Activities are still ongoing throughout the year with a good pace, and we started 2024 with 3 finalized transactions. In '23, we are going to acquire Dalair in January and the Latour Future Solutions invested in Quandify in July. This year, '24, in January, BS Tableau was acquired to Latour Industries. BS Tableau is a German leading manufacturer components for elevators, manufactures and sells bespoke fixtures for elevator cabins and in a broad range of electronic components to lift operators and OEMs mostly targeting modernization projects. Net sales is around EUR 6 million. And also in January, we acquired Eelectron and IPAS through Bemsiq. Eelectron is an Italian pioneer within the KNX technology and has over 25 years of experience in the development of hardware, software devices for smart buildings, energy efficiency and hospitality applications. IPAS is a German developer and manufacturer of KNX and DALI building automation devices. Together, Eelectron and IPAS has an estimated net sales, yearly net sales of EUR 26 million. And lastly, we acquired PBL and Condor to the Nord-Lock Group. PBL is a Nord-Lock distributor in the Western Canada and Condor is a niche manufacturer specialized metal components. Together, PBL and Condor has an estimated net sales of CAD 7 million. Having said that, I would like to hand over to Anders, so over to you. Thank you.
Anders Morck: Thank you so much, Johan. And it's a pleasure to speak about all of our business areas. We start with Bemsiq on the first picture. And for Bemsiq, the order intake was slightly weak compared to the very strong previous quarters. And then with weak, we mean it was only growing organically by 6%, whereas the full year had organic growth of 10%. The total growth in net sales was 6%. And that, however, was an organic decline for the quarter with minus 7%. So it was a little bit dip in net sales, but very good order intake. Bemsiq have ongoing investments in R&D, leading to several product launches in 2024. And this will have a slightly negative effect on the margin, but only in the short run. The operating result was as an outcome of a little bit lower sales, SEK 55 million for the quarter and at a record level then for the full year. And as Johan said, we made the 2 acquisitions or rather 1 in bringing 2 companies to us in January. In the short term, the market climate is a little bit uncertain. But in the long term, it's in a positive market sentiment, so very well done Mikael and team for the achievements during 2023. Let's go to the next business area, which is Caljan. And as you can see, in the 5-year shot, the business is now double the size than in 2020. This is more or less all because of organic growth. But as you also know, we have concluded for quite many quarters now that the order intake has been on a low level, but the growth that came before this should be in hindsight when we think about this. Customers overall for Caljan has been more conservative when it comes to capital expenditures, and, therefore, the order intake is on a lower level. Market activities are gradually starting to increase. But as we noted before, the assessment is that net sales will continue to decrease in the short term. Net sales in the quarter was well below corresponding period last year, but still on a quite decent level considerably higher than the present order intake; however, the lower volumes resulted in an operating profit lower than last year. Caljan has conducted a cost-saving program to decrease fixed cost and a close down the production facility in Denmark to consolidate the capacity to Latvia and U.S. instead. The full year profit for Caljan is the second highest so far in Caljan's history and a good operating margin of 17.9%. Thank you very much, Henrik and team for taking care of this situation in a very professional manner. And we go to the next business area, which is Hultafors Group. Slightly weaker development during the quarter for Hultafors, but you should bear in mind that the fourth quarter 2022, in very many ways, was a record quarter. So the business unit, personal protective equipment within Hultafors is developing very, very strong, but slightly weaker number than for the other business areas. And we also see a bit more volatility in the demand from month to month. And this is very typical for Hultafors when the business climate is a little bit more uncertain. The gross margins have been strong and contributes to a very good profitability together with effective cost management. So the result then for Hultafors was a little bit lower, but still on a strong level for the quarter at SEK 307 million. Full year has been very positive with record EBIT amounting to SEK 1.1 billion, very, very good. Very well done, Martin and team. And we go to the next business area, which then is Latour Industries. Here, we have a mixed picture regarding order intake between the business units, but overall, on a quite good level with organic growth. The market is, however, a bit hesitant and order intake also here quite volatile between the months. Net sales grew by 7% in total and 3% organically. But as said then, with a very different picture for the different business units. Earnings and profitability as a whole is developing in the right direction and operating profit grew by 34% to SEK 95 million with an operating margin of 8.2%. And then as you can see in the heading for this picture, this business area are building the basis for future business areas, and this means that the profitability has got prospects to grow even stronger going forward. And you can see in the 5-year shot that is true as well. During the quarter, the lift-related companies together with recently acquired BS Tableau that was acquired in January now has formed a business unit called [indiscernible]. We're really looking forward to that going forward. All in all, very well done, Johan and your team and also summing up to Latour Industries best year ever, very, very good. We go to the next business area, which is Nord-Lock and the order intake is just below corresponding quarter last year, which, at that point, was a record-high quarter. The sales, net sales was -- showed strong organic growth of 13%. All regions and segments then contributing positively. These high volumes are contributing to the best quarter for Nord-Lock ever. So the best fourth quarter, sorry, for that, with an EBIT of SEK 98 million despite negative effects from restructuring costs of about SEK 8 million. And also the full year was the best year ever for Nord-Lock and in January then Nord-Lock Magnis made these acquisitions in Canada that Johan mentioned before. So very, very well done, Fredrik and your team. And also many thanks to you, Fredrik, now that you have decided to leave us for new challenges outside Latour. And you should remember, we will always be here for you. So let's go to Swegon, the last business area. Swegon had a very strong order intake that grew by 14% in the quarter, which, of course, is very positive. It was partly driven by a few large orders, but also with a good demand within commercial buildings overall. Sweden and the Nordics are still hit by the lower demand within the residential sector. We see relatively strong demand within sustainable solutions, HVAC systems, cooling and heating and service. Net sales for the quarter was organically lower than last year. And as you know, the corresponding period last year was bolstered after the recovery that we had from when we had major disruptions in the supply chain during the summer 2022. And this then explaining the lower EBIT level this year compared to last year. Full year for Swegon was very, very strong, growing by 25% and with an EBIT margin of 12.8%, summing up to yet another record year. So very well done Andreas and team, and summing up very well done everyone in the business areas. We turn to the next page, Katarina, and we see the net asset value growing during the year by 27.5% to SEK 198 per share and this then could be compared to the SIXRX index that grew by 19.2%. This means when we compare with the share price at December, that was SEK 263 that -- sorry, my computer went down. So I lost my picture. I hope you can hear me. So I will speak without picture. Sorry for that. Yes, we have a premium when we compare the share price to the net asset value of 33%. And on this Friday last week, we also measured the net asset value. It had decreased a bit to SEK 190 and the share price at the same day closed at SEK 270, which then was a premium to the net asset value of about 42%. Also, I should mention the net debt, which decreased during the quarter from SEK 11.7 billion to SEK 10 billion, a very large decrease, and this was because of a very, very strong operational cash flow in the period and partly also because strengthening of the Swedish krona that's reduced our debt a little bit. So very good development on the net debt now corresponds to about 7% of our investments leaving a pretty nice headroom for further acquisitions. Now Johan, I will leave back to you.
Johan Hjertonsson: Thank you, Anders. Excellent presentation. Thanks a lot. So we go over to our financial targets. And as you know, fairly recently, we changed and increased our financial targets. So in summary, the targets are to be growing more than 10% per year, having an operating margin of about 15% and the return on operating capital of about 15%. So during the last months, which is last year, our growth was 13%. The EBIT margin was 14.9%, and the return on operating capital was 16%. So a very strong performance, and we're very happy to that. 0.1 percentage points left for the operating margin targets. And then if we go back to our dividend slide, the good development and our strong financial position gives us the possibility to increase our dividend again to SEK 4.10 per share, which is an increase of 11%, and this is proposed by the Board of Directors. And the proposal is aligned with the dividend policy. And as you can see on the chart, we have a very strong history of increased dividends, and we hope that shall continue going forward. And lastly, on the last slide, overall, as a summary, I'd like to say, it was a very strong year for Latour, both in the listed and wholly-owned operations and Latour is a long-term sustainable investment company and a responsible owner creating value for our shareholders. We own profitable companies, and we have a strong financial position, which will enable us to continue investing in both existing and new holdings to enable future growth. We have an ambition to grow both organically, acquisitions, but a large portion of the potential still remains. As you can see in this map, we have 80% percent of our operations in Europe, only 14% in America, and 5% in Asia. So ample and large room to grow, lots of possibilities going forward. Having said that, that's the last slide and the last part of the listen-only mode, and now, Anders and I, we're open to take questions from you.
Operator: [Operator Instructions]. The next question comes from David Johansson from Nordea Markets.
David Johansson: I have 3 questions. First, could you comment a bit on the order intake, which, to me, looks quite strong here, actually. To what extent would you say this is driven by a larger type of projects or should we view this more as a broad-based recovery now? And if you have any view, looking at 2024, I'll leave it there for my first question.
Johan Hjertonsson: Thank you, David. I just I think, yes, we're also happy to that strong order intake to underline your point in the quarter is, to some extent, some fairly large orders that we got in the quarter. But it's -- I think it's also -- and nobody will know, right? But I hopefully, I mean, we are in a downturn, we are in a recession. That's clear. But hopefully, it will be a fairly soft landing going forward. But I'm not a macroeconomist, so would -- from that macro view. But hopefully, there's soft lending coming in. I think one can think maybe the next 1 or 2 quarters will be a little bit more -- and then if you're optimistic, quarter 4 should be better. But there's also some geographic effects into this. You see North America is very slow -- fairly strong, sorry. And you see Europe fairly okay, but a little bit less strong than the U.S. and Northern Europe may be a little bit weaker. And actually, Sweden is one of the weaker countries in the mix. And as you can see from our numbers, a very large portion of our sales and order intake is outside Sweden in that sense. And also to underline again that as I said in the report, yes, Latour has -- many of our businesses are fairly related to the building sector, I would say the building sector is more depressed in Sweden than elsewhere to my earlier comment. And secondly, as we have highlighted, we are very well positioned in the energy-efficient sector within the building sector. For instance, with Fagerhult's energy-efficient lighting, Swegon's very energy-efficient [indiscernible] products, Bemsiq's room controllers for building automation and saving energy and building. So and that's a growing segment within the building sector. So a very long answer to an important and short question.
David Johansson: I appreciate the clarity there. And my second question on Swegon. I think circling back to your comments on volumes and maybe tougher comparative figures. Could you talk a bit on the growth drivers here looking at orders? And do you think it will be enough for sales to grow now in '24? And also, if you could break down the volume impact on margins here in the quarter as well, that would be helpful.
Johan Hjertonsson: But I can't do every -- all of your job, David, right? You have to analyze a little bit. But I think -- I mean as I said earlier, I think -- I don't think we should be more specific for a company. But my earlier comments on order intake still holds, and they are very valid for Swegon as well. I think we can say like that unless Anders wants to add.
Anders Morck: No. I just can say that you know that we have had these comments about normalization before. And you know also that, for example, the third quarter was weak on order intake, and we tried to explain at that point that the normalization is not over yet. And now we say that normalization are more or less through and so the order intake that we will see going forward now will be more of a true picture. But we still have some normalization effects in the fourth quarter and that said, that would mean that order intake was quite good in the -- also in the fourth quarter, if we reduce the one-offs, so to say. And of course, when it comes to margins, as you asked about, that will be a mix effect also going forward, but you never know. We don't look for one quarter ahead, we look for many, many years ahead when we are going forward, and we see that we have a good position for long term, very profitable growth.
David Johansson: And the last one for me on Caljan. I think you said in the report that activity looks better now with quite hefty growth on orders compared to previous quarters at least. Does this mean that these types of bigger projects will increase now from customer in '24 and also struggling a bit with the margin here. Would you say Q4 now is at a more normalized level? And do you think 17%, 18% margin is possible now looking at the full year given your current pipeline?
Johan Hjertonsson: Thank you, David, I can take that and then you can add, Anders, if you want. I think remember, during the pandemic, Italian sales automation equipment or the logistic sector, right? During the pandemic when e-commerce grew through the roof, Caljan actually increased its order intake and sales by about 100% fully organic. That's quite a lot to handle. And then when the pandemic was over, as you know, when e-commerce normalized and came down and then also investments into logistics centers and so on. On top of that, these investments are capital investments. And kind of that's the first thing you do. You stop capital investments in a downturn. But we see -- since some months back, we see early signs that this is reversing. And that the big logistics companies need to start investing again in their logistics center. So hopefully, bottom out under order intake at this level, and it should increase throughout the year. And when it comes to operating margins, I think it should be considerably higher than that are reported where we have a more normalized order intake in Caljan. I don't want to be more specific than that, but they should be better than what you've seen.
Operator: The next question comes from Linus Sigurdson from DNB Markets.
Linus Sigurdson: So I'd like to start off with a question on M&A. You said that you ended the year with a good M&A pipeline. Is it fair to assume that this commentary holds true also after the acquisitions you've made now in the start of the year? And also, should we expect more sort of continued bolt-on type acquisitions rather than larger transactions as we go further into the year?
Johan Hjertonsson: Thank you, Linus. Great questions. So despite the 3 acquisitions -- were actually 5 companies in 3 transactions that we did in January, that does not mean that our M&A pipeline is depleted in any way. We have a strong and good pipeline going forward. And to your second question, yes, you will see bolt-on acquisitions, but you may also see new platform investments or larger acquisitions on top of that. So we don't exclude the one for the other. And to the other point, we have a good, good firepower, so to speak, in our balance sheet and can have a very active M&A going forward, and we have kind of released our organization to have a stronger and more active M&A agenda going forward. Deliberately, it was lower last year because we digested and integrated some 22 companies that were acquired in '21 and '22. So there was all in control that we took had a slower pace and we also think pricing and valuation on companies is more realistic now and going forward.
Linus Sigurdson: Understood. Then secondly, so cost inflation seems to have come through more than it did at the start of '23. Would you agree on that analysis? And are there any details you can give on what's driving that?
Johan Hjertonsson: Yes, cost inflation is coming through. We've also been very good in driving our price management. And you would see that gross margins are up in most of our operations and in businesses, and it's, to a large extent, because of good cost control, but also because of good price management. The weaker EBIT result in percentage is, I would say, is attributable mainly to lower volume in Q4 and, therefore, less fixed costs in Q4. Do you want to add, Anders?
Anders Morck: No, it's correct. Lower volumes, specifically for some of our companies were boosted in the end of 2022. And we do not have any questions on the chat, Johan.
Johan Hjertonsson: Okay. Then I think we are complete with our Q&A session. And thank you, everybody, for listening in. And hopefully, I will speak to you all and listen to your questions in our Q1 report coming up later this year. So over and out, and thanks a lot from Anders and myself.